Operator: Good morning, and welcome to the MarineMax, Inc. 2021 Fiscal Second Quarter Conference Call. Today's Conference call is being recorded.  At this time, I'd like to turn the call over to Dawn Francfort of ICR, investor relations for MarineMax.
Dawn Francfort: Thank you, Operator. Good morning, everyone, and thank you for joining this discussion of MarineMax's Fiscal Second Quarter 2021 Conference Call. I'm sure that you've all received a copy of the press release that went out this morning, but if not, please call Linda Cameron at 727-531-1712, and she will email one to you right away.  I now would like to introduce the management team of MarineMax. Mr. Brett McGill, President and Chief Executive Officer; and Mr. Mike McLamb, Chief Financial Officer of the company.  Management will make a few comments about the quarter and then be available for your questions. And with that in mind, let me turn the call over to Mike. Mike?
Michael McLamb: Thank you, Dawn. Good morning, everyone, and thank you for joining this call. Before I turn the call over to Brett, I'd like to tell you that certain of our comments are forward-looking statements as defined by the Private Securities Litigation Reform Act. These statements involve risks and uncertainties that could cause actual results to differ materially from expectations. These risks include, but are not limited to, the impact of seasonality and weather, general economic conditions and the level of consumer spending, the company's ability to capitalize on opportunities or grow its market share and numerous other factors identified in our Form 10-K and other filings with the Securities and Exchange Commission.  With that in mind, I'd like to turn the call over to Brett. Brett?
Brett McGill: Well, thank you, Mike, and good morning, everyone, and thank you for joining us today. On the call, I will share highlights from our second quarter as well as provide an update on the continuing enthusiasm for boating. I will also touch on our positioning into the important June quarter and discuss the meaningful opportunities for MarineMax to create growth and long-term shareholder value in 2021 and beyond. Then I will turn the call over to Mike to review the financial results in greater detail and provide some color on the balance of the year.  First, I want to share how proud I am of our team's ability to successfully navigate through this pandemic and produce consistent record results quarter after quarter. From the onset of the pandemic, we effectively pivoted to capitalize on the ongoing changes in consumer behavior resulting in sustained record results. It's important to note that we achieved these results while prioritizing the health and well-being of our team, their families and our customers as well as the welfare of our local economy.  We anticipated more than a year ago that boating would be one of the beneficiaries of a changed world. We continue to see that development play out as evidenced by the 45% same-store sales growth and EPS increasing more than sevenfold in the March quarter. Boating continues to be a great way to escape the stresses of everyday life and strengthen the bonds between family and friends. The recent demand for boating has created a foundational layer of new customers. This is driving replacement and upgrade cycle that is supported by new technology and product upgrades, providing us with confidence that growth is going to be sustained well into the future. These new customers are embracing the boating lifestyle and existing and new customers continue to upgrade to larger and newer boats while also taking advantage of our multiple product and service offerings.  I'm honored to be able to lead such an outstanding, passionate and devoted team, and I'm excited about the long-term growth opportunities ahead of us. Let me underscore a few highlights from our March quarter. The record sales and earnings growth we delivered were driven by robust 45% same-store sales growth, which is on top of 1% same-store sales growth a year ago. It's important to note that our new unit growth was the primary driver, which provides the foundation for future sales. Our consolidated margins hit a March quarter record of 30% driven by increasing unit margins and the expansion of our higher-margin businesses, which I'll touch on shortly. Our significant geographic and product diversification and the effective utilization of our digital platform have enabled and driven our growth over the past several years. Additionally, the marine industry continues to experience a significant acceleration in new customers.  Given our scale and global position, we continue to benefit from this resurgence and expect these new voters to support future growth in the coming years. To this point, based on available industry data, we believe we gained market share. Part of our success is due to the strength of our relationships with our manufacturers and the great job they are doing to continue delivering product to us during these high demand period. From a 6-month perspective, same-store sales growth was up 33% on top of 12% a year ago. We had meaningful improvement across all brands, categories and geographic regions and continue to leverage our investments in technology, which is driving leads that are being converted into sales and enhanced profitability.  Profitability-wise, the gross margin strength we produced last quarter continued into the March quarter, increasing 450 basis points to 30%. The We realized gains in new and used product margins as well as incremental gains in our higher-margin businesses.  Additionally, our last 3 acquisitions are all contributing to the margin expansion. Fraser Northop & Johnson, our global superyacht services company, contributed to the growth of our brokerage revenue; while SkipperBud's, with its greater mix of service and storage revenue, helped to drive the overall margin expansion. Additional incremental improvements in finance and insurance as well as service and parts also contributed.  Regarding SkipperBud's, we remain very excited about the significant synergies associated with the acquisition, including the sharing of best practices, brands and resources to drive even greater growth in the years to come.  In the quarter, the margin expansion and generally good expense control led to operating leverage of 21% and the record earnings and earnings per share of $1.69. Our mission remains being laser-focused on creating an exceptional experience for our customers. We continue to invest in technology, using our flexible model to service our customers in any way they prefer digitally or in our stores. Our model has created a seamless experience for our customers, which continues to drive market share gains. Now let me touch on our position and share the attributes of the business model we believe will drive ongoing growth in and beyond the important June quarter.  We have kicked off this important boating season with strong visibility and are well positioned and prepared to serve our customers. The sheer size of our backlog provides us with added confidence that we should outperform for the second half of 2021 and into fiscal 2022. While this can be impacted from a timing perspective and by our ability to deliver product, we do see demand remaining very strong across the industry.  There is also no question that our scale is a competitive advantage as we leverage our deep manufacturing relationships and nationwide shared inventory to support the growing demand. Our strategy to create long-term shareholder value remains focused on driving top line growth, operating leverage, disciplined capital management and building on our strong culture. We continue to effectively execute on our multifaceted growth strategy, supported by our global market presence, premium brands ,, strategic locations, exceptional customer service and ongoing investments in technology.  We remain committed to driving operating leverage in our model and generating significant cash flow growth. We believe the combination of our approach, business model and strong visibility into the balance of the year and into fiscal 2022 will support sustained growth as we move ahead.  And with that update, I'll ask Mike to provide more detailed comments on the quarter. Mike?
Michael McLamb: Thank you, Brett, and good morning, again, everyone. I'd also like to start by thanking our team for their strong efforts that produced record revenue and earnings through the first 6 months of the year. For the quarter, revenue grew 70% to over $523 million due largely to same-store sales growth of 45%. This exceptional growth was driven by strong comparable new unit growth of 40% and a mix to larger boats. Additionally, our recent acquisitions of Northrop & Johnson and SkipperBud's also performed well in the quarter.  Our gross profit dollars increased over $78 million while our gross margin rose 450 basis points to 30%. Our record gross margin was due to a handful of factors. Among these are improving margins on new and used boat sales due to increased demand; impressive service and storage performance at SkipperBud's, which has a long track record of performance in these categories; Growth in our higher-margin finance, insurance and brokerage businesses, including our global superyacht services organizations of Northrop & Johnson and Fraser Yachts.  We would note that the superyacht charter business has remained adversely impacted by travel bans around the globe. Hopefully, with the vaccine rollouts, we will see improvements in the near future. Nonetheless, we are pleased with the current contributions from these businesses.  Regarding SG&A, the majority of the increase was once again due to rising sales and the related commissions combined with the 2 acquisitions we recently completed. Interest expense improved in the quarter due to lower interest rates and a reduction in short-term borrowings given the cash we have generated. Our operating leverage in the quarter was 21%, which drove very strong earnings growth, setting another quarterly record with pretax earnings of about $52 million.  Our record March quarter saw both net income and earnings per share rise more than seven-fold, generating $1.69 in EPS versus $0.23 a year ago. For the first 6 months of the year, our revenue exceeds $934 million. Gross margins are 30%. Our operating leverage is around 20%. Our earnings per share is at $2.73 and our EBITDA is over $92 million an impressive start to the year.  Moving on to our balance sheet. We continue to build cash with about $143 million at quarter end versus $64 million a year ago. As discussed previously, given the attractive interest rate environment, we explored and did secure mortgages on a portion of our sizable real estate portfolio. Besides some slight rate arbitrage, it further positions us to capitalize on opportunities in development.  Our inventory at quarter end was $303 million. Excluding SkipperBud's, our inventory is near historic levels on a relative basis. However, I believe it is important to reiterate again this quarter how well our team has pivoted to selling in a lean inventory environment as proven by the very strong unit-driven same-store sales growth this quarter despite historically low levels of inventory. It also does speak to the success of our shared inventory strategy and the strength of our various manufacturing partners.  Looking at our liabilities. Short-term borrowings decreased sharply due to lower inventory and related financing as well as an increase in cash generation. Customer deposits, while not the best predictor of near-term sales because they can be lumpy due to the size of deposits and whether a trade is involved or not, rose over 200% due to the demand we are seeing and a contribution from Skipper's.  Our current ratio stands at 2.14, and our total liabilities to tangible net worth ratio is 1.05. Both of these are very impressive balance sheet metrics. Our tangible net worth was $381 million. Our balance sheet has always been a formidable strategic advantage, and today more than ever, it can provide the capital for expansion as opportunities arise.  Turning to guidance. The March quarter exceeded expectations and industry trends remain strong. Industry estimates for 2021 retail units are now expected to rise from the mid-single digits to the high single digits. Since we usually outperform the industry and grow our AUP on an annual basis, We now expect our annual same-store sales growth to be in the high teens. This is up from the high single digits we guided to in the December quarter and up from the mid- to high single digits we guided to earlier in the year. Given the strength in earnings in March, our guidance also assumes operating leverage improvement above our previous guidance. Accordingly, we are raising our earnings per share guidance to the range of $5.50 to $5.65 for 2021 from $4 to $4.20 that we guided to after the December quarter.  In summary, we are expecting our pretax earnings to rise in the second half of the year, which results in the EPS guidance range despite increases in both shares outstanding and our effective tax rate. Our guidance excludes the impact from any potential acquisitions that we may complete. As we progress through the year, we will provide updates as needed to our guidance.  Our guidance uses a share count of about 23 million shares versus a little over 22 million last year, and an effective tax rate of 25% versus 23.5% last year. Looking at the remainder of 2021, the March quarter was our easiest comparison with our toughest comparisons in the more meaningful summer quarters of June and September.  Turning to current trends. April will close with strong positive same-store sales growth and our backlog is at record levels, providing visibility into next fiscal year. As we have said, industry trends remained strong, and we are generally outperforming these elevated levels. We continue to feel good as we enter the important selling seasons with solid visibility. As Brett discussed, the sheer size of our backlog provides us with added confidence that we should outperform for the back half of 2021 and into fiscal 2022.  With those comments, I'll turn the call back over to Brett for some closing comments. Brett?
Brett McGill: Thank you, Mike. Our team's performance for the first 6 months of fiscal 2021 continues to show excellent execution, even on top of very impressive same-store sales a year ago. We remain focused on creating exceptional customer experiences through our teams, services, products and technology. Our differentiated customer-centric approach continues to ensure MarineMax will meet the needs of the many new customers joining the boating lifestyle, and we will continue to see significant opportunity in our brand expansion and higher-margin businesses.  We are active with acquisition and investment opportunities that should strengthen our overall business while staying focused on our long-term strategy. Looking ahead, we remain focused on building our strong team culture, focusing on executing our growth strategy and creating long-term shareholder value.  And with that, operator, let's open up the call for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Fred Wightman with Wolfe Research.
Frederick Wightman: Brett, you had mentioned that you're expecting the industry demand to remain strong, and I think you talked about high single-digit growth for the industry this year, which is better than that mid-single-digit number previously. As we start to lap some of the tougher comparison last year, it sounds like you guys are still seeing positive trends. But could you just sort of help us frame or set the expectations as we move into the summer months, both you guys and then also as an industry, should they remain positive? Could we see some negative industry numbers? How does that all shake out?
Brett McGill: I'll comment and I'll let Mike touch on it. Like we said, the visibility we have, customer deposits and then the demand we're seeing in the stores, floor traffic, Internet traffic, all of those different things give us quite a bit of confidence in the fact that there'll be some growth. However, like I say, we're up against tough comps and growth.  Mike, do you want to come on...
Michael McLamb: Yes. Yes, I just would say, I think the industry overall for of 2021 now is looking -- we'll be talking more along the lines of the growth that we're talking about, and demand continues to be very strong.  Specifically, if you look at us, if you look at our 2-year comp stack or our 3-year comp stack, it does indicate there's a potential for same-store sales growth even in the June quarter, which I know is a 37% comp, which is tough to do. And also in the September quarter which is 33%, that's more dollar growth versus unit growth. But I think that it's so strong that there's expectations that the potential is there for back half unit growth for sure.
Frederick Wightman: Makes sense. And just on the inventory, would you mind just running through that organic inventory commentary that you made? Again, I think you said it was close to historic levels on a relative basis. That was down, I think, 36% last quarter. So where is -- I think you said it was close to historic levels on a relative basis. That was down, I think, 36% last quarter. So where is inventory on sort of a like-for-like basis?
Michael McLamb: [Technical Difficulty]. And which is keeping inventory at lower levels. Without Skipper's, our inventory is probably down in the neighborhood of 55% or 50% on a year-over-year basis. But I think it speaks to our ability to continue to sell in a lean inventory environment and also our ability for our manufacturers to keep getting us product that we can keep driving strong same-store sales growth. We had 33% in September in the lean inventory environment. We had 20% in December. We have 45% in March, which is the leanest environment we've operated in. So I think our team's working great, our manufacturers keep doing a good job getting us product.
Operator: Our next question comes from the line of Joe Altobello with Raymond James.
Joseph Altobello: Just want to follow up on the inventory. I'm just curious how your selling process has changed over the past year. If I look at your results, I see revenues up over $200 million year-over-year, I see inventory is down over $200 million year-over-year. And I certainly understand your OEM relationships and having multiple locations helps. But are buyers just that much more comfortable buying a boat they can't physically touch and that they may not get for 6 or 8 weeks?
Brett McGill: Yes, Joe. Two things have happened, right? We've invested in some technology over the years that have helped us. I know we keep saying that, but it's a powerful tool.  And then we've invested in training for our sales team, which you can't miss out on that, that the sales process change slightly when you have to talk to a customer about both the 30 days away, 60 days, maybe even 4 months away. That process of, in a lot of cases, they're enjoying a boat now, and you can -- through the right process, you can sell them on a future slot or a future order.  So our team is doing a great job and the customers are finding a way to accept -- they don't want to miss out on whatever boating season is left. So they're willing to wait. And our manufacturers are doing a good job getting us the products, and we're turning them quick.
Joseph Altobello: Got it. That's helpful. And just maybe on another note, the gross margin. I'm curious if you guys could put the 30% gross margin in the first half into context. How much of that is structural and stays with you in fiscal '22? And how much of that is due to favorable discounting, which may or may not persist?
Brett McGill: Yes, Joe. If you go back and look, I mean, we We've been talking about our strategy of higher-margin businesses for a long time, and we kept -- those have been growing, but boat sales were growing as well, which made it tougher. Our acquisition strategy has shown that we're focused in that area as well. So we really have a strategy that wants to get our -- in a normal demand environment, in a normal pricing-discounting environment, we'd love to see our margins in this range, and that's our strategy. But clearly, there's some tailwinds from pricing in the market right now.  Mike, I don't know if you want to comment on that?
Michael McLamb: Yes. We've gave this information in the last quarters and the quarter before. Roughly 1/3 of the increase on a quarter-over-quarter basis is coming from new and used pricing. The rest of it is what Brett said, it's the strategies we have around our higher-margin businesses. It's Fraser contributing, it's Northrop & Johnson. It's the higher margins coming from SkipperBud's, which all that's sustainable into the future. It's roughly 1/3 is the pricing components you're probably asking about, Joe.
Joseph Altobello: Okay. So it hasn't changed Got it.
Operator: Our next question comes from the line of Michael Swartz with Truist.
Michael Swartz: Mike, just wanted to touch on guidance. I know we go through this pretty much every quarter. But as I look at your guidance and then what you've done in the first half of the fiscal year, It does look like you're implying some sort of slowdown in incremental margins in the back half of the year. And I know we just had the commentary around gross margin. So maybe give us a sense of what -- how to think about incrementals in the back half of the year relative to the first half? And then what are some of the puts and takes in that guidance?
Michael McLamb: Yes. I think part of it is we've still got our biggest summer selling season ahead of us. So we're being somewhat prudent in our guidance. Also, though, when you look at the back half of last year, we do get up against tougher gross margin comparisons for sure in the September quarter. Obviously, it's our intention and our team's intention to keep driving strong gross margin growth, strong flow-through. But I think as you're modeling the business, I think what we've done from a guidance perspective is probably the prudent way sitting here today looking at the next 4 or 5 months.
Michael Swartz: Okay. Great. And maybe just secondly, on your backlog today, maybe give us a sense and a little more granularity. I mean how much of that is maybe presold versus units being sold out of inventory that just haven't been transacted yet. Maybe how that looks relative to last year at this time as well.
Michael McLamb: No, good question. Well, obviously, last year was -- I think we had $500 million of inventory when we ended March. So we had much more that would be sold on the ground than we do now. So more of it's presold not in our stores, but coming. But again, the manufacturers and our teams are doing a great job staying communicated with our customers as the dates when their boats are coming in, scheduling deliveries, getting the boats really as fast as they come in, they're going out. And so it's kind of a healthy model, quite frankly. Inventory is sold, it comes in and goes out.  So no, a greater percentage for sure is going to be sold on order coming in than on the ground, just given where inventory is today.
Operator: [Operator Instructions]. Our final question comes from the line of James Hardiman with Wedbush Securities.
James Hardiman: Great quarter. Really encouraged by I think most notably what you think is going to be your ability to sort of comp the comp, right, to put up positive growth on top of last year's really strong growth numbers in the back half of the year. I guess little doubt that the demand is there to do that. What does it assume about incoming shipments for manufacturers that you're going to be able to comp that comp? Does it assume similar pace of shipments coming in the door versus what you've seen in the last couple of quarters? Does it assume a step-up? And is there any risk to that guidance if supply chain issues sort of come up the system?
Michael McLamb: Yes, that's a great question. And we really have such a clear visibility to our manufacturers. We're communicating with them regularly, along with the data transfers to look at things. So we have a clear sight on bots that are being built for these customers for sale, some for stock, when will they land literally to the day.  And so I'd say we have great visibility on those products. There's always risks to outside factors that could affect those boats getting here. But like we've seen in the last couple of quarters, we watch it close. The boats arrive within that time frame, and we get them delivered to customers. So I'd say we have great visibility to the arrival dates. Some risk to outside factors.
James Hardiman: Do you feel like you're losing out on sales as a result of a lack of inventory? I mean, it's hard to knock 45% same-store sales growth. But do you think that number would be even higher if you got the inventory that you wanted? And does that become more difficult in the bigger quarters to come?
Brett McGill: Yes. I mean clearly, if we had more inventory right now in this high-demand period, you'd probably transact more boats right today. But we have a lot of boats incoming. And like I talked about, our sales team is trained, and it looks like we're getting about every sale we can get. And even in some cases, people might have a preconceived notion of a boat they really wanted that's sold out, let's say, for 6 months to a year, And there's another boat that meets their needs just as well. And so we're able to move people to something like that. Still a great boat for them.
Michael McLamb: And so that's -- I think if you look at the -- specifically, if you look at the industry trends and our key categories, our growth rate is considerably higher than the industry's growth, which would tell you we're doing better getting product from manufacturers, and our team is handling it better and we're delivering more. So I don't think we're losing a sale necessarily just to someone down the street. So I think we're in probably a better position, quite frankly
James Hardiman: Got it. And then just last question for me. As I think about this high-teen same-store sales guidance -- Well, I guess two questions. A, can you give us a total sales -- what's the total sales number assumed? Obviously, you've had some acquisitions in the past year. So what does the guidance assumed for total sales growth?  And what's the ASP component to that same-store sales growth number? I think it was -- ASP was about a 5% benefit here in the second quarter. If memory serves, I think it was a headwind in the first quarter, but how should I think about that for the full year?
Michael McLamb: Yes. Actually, I don't have the total sales number right at my fingertips right now, but it'd be a high-teens overall same-store sales growth rate that's going to be driven by units at the end of the day. I mean, there's going to be a component of AUP that -- the exact mix of that's a little tough to predict. But it's going to be unit-driven, which is speaking to the demand that we're continuing to see out there.
Operator: Our final question comes from the line of Colton West with Longbow Research.
Colton West: Congrats on the strong quarter.
Brett McGill: Thanks, Colton.
Colton West: I guess, to start out with, do you see the industry getting back to sort of the 2010 level of 300,000 retail units annually? And if so, if that were to happen in the next few years. Is there sufficient capacity in place to be able to meet that level of demand that would be required to get there?
Brett McGill: That's actually a great question. So I think anybody in the industry is going to tell you that, yes, we see the industry getting back to those levels. I mean, we see the demand. We see people out there on the water and boating. We see what boating does for families and their friends and so forth.  Does the industry have the capacity? That's a good question. I believe it does. I don't believe there's been that many manufacturers that have gone offline. It's a good question.  So I believe that it does and/or it will add it. I don't think it's that expensive to open up boat manufacturing facilities in terms of the physical facilities. Obviously, it takes time to get the team and the molds and all that stuff to build the right boats. But a great question.
Colton West: Okay. And then I mean, you guys mentioned like really strong growth. I mean, pretty much all around, right? Leads, web traffic, same-store sales of quarters, it doesn't really matter where you look. But what gives you more confidence that you're able to sustain these levels of demand even against the tough comps and even next year, when you think about what the 2021 comp is going to look like?
Michael McLamb: Yes. It's as basic as a guess. The waterways, where waterways are open, are packed. People are boating. They're loving the lifestyle, they're getting involved. There's this new layer of customers that want to upgrade. There's more people in a canal in Florida that have a new boat, and everybody sees it drive and by the canal, it's just -- it's infectious. And it's really turning on to be a great alternative for people to stay close to home and with their family and friends and enjoy the boating lifestyle.  That's a real basic answer, but it's truly what we're seeing. And if we weren't seeing as many people out there using their boat, of course, then you start wondering how long will that stay? But they're out using their boats a lot.
Colton West: Yes. And then is that momentum still being fueled primarily by the first-time buyer? Or are you starting to see those buyers who maybe didn't buy in 2020, come back to market now that maybe inventory was able to come up a little bit in the off-season months, but I see probably the March retail number reverse that pretty quickly.
Brett McGill: It does move around a little. We are seeing some of those buyers that didn't buy in 2020 that have had a boat and they finally got on order what was -- what they had been wanting. But the level of new boaters coming in remains high. It still remains pretty high.
Operator: I'd like to turn the call back to management for closing remarks.
Brett McGill: Well, thank you, everybody, for joining the call today. And both Mike and I are available all day if you have any questions, feel free to reach out. And we'll look forward to speaking with you on our next quarter.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.